Operator: Good afternoon, and welcome to the conference call to discuss Everspin Technologies' Third Quarter 2022 Financial Results. At this time, all participants are in a listen-only mode. At the conclusion of today’s conference call, instructions will be given for the question-and-answer session. As a reminder, this conference call is being recorded today Wednesday, November 9, 2022. Before we all begin the call, I want to remind you that this conference call contains forward-looking statements regarding future events, including but not limited to our expectations for Everspin's future business, financial performance and goals, customer and industry adoption of MRAM technology successfully bringing to market and manufacturing products in Everspin's design pipeline and executing on its business plan. These forward-looking statements are based on estimates, judgments, current trends and market conditions and involve risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. We would encourage you to review our SEC filings including our quarterly report on Form 10-Q, which will be filed with the SEC on November 10, 2022 and other SEC filings made from time-to-time in which we may discuss risk factors associated with investing in Everspin. All forward-looking statements are made as of the date of this call and except as required by law, we undertake no obligation to update any forward-looking statement made on this call to update or alter our forward-looking statements whether as a result of new information, future events or otherwise. The financial results discussed today reflect our preliminary estimates are based on the information available as of the date hereof and are subject to further review by Everspin and its external auditors. Our actual results may differ materially from these estimates as a result of the completion of our financial closing procedures, final adjustments and other developments arising between now and the time that our financial results for this period are finalized. Additionally the company's press release and statements made during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms. Included in the company's press release are definitions and reconciliations of GAAP net income loss to adjusted EBITDA, which provide the additional details. A copy of the press release is posted in the Investor Relations section of Everspin's website at www.everspin.com. And now I'd like to turn the call over to Everspin's CEO, Sanjeev Aggarwal. Sanjeev please go ahead. 
Sanjeev Aggarwal: Thank you, operator, and thanks everyone for joining us on the call today. Everspin delivered quarterly revenue of $15.2 million close to the high end of guidance. We were GAAP net income positive for the sixth quarter in a row, which continues to be a strong focus of the company. A few highlights for Q3 2022. Revenue was $15.2 million, up 3% year-on-year. Product sales were $14.6 million, up 21% year-on-year. Cash flow from operations was $0.9 million. GAAP gross margin was 58.8% and GAAP net income was $1.9 million. On October 18, 2022, we reported entering into a contract to develop strategic radiation-hardened FPGA technology using Everspin MRAM IP for future Department of Defense strategic and space system requirements. On November 2, 2022, we announced the commercial availability of our EMxxLX STT-MRAM devices in densities from eight megabit to 64 megabit. For our business outlook, our product backlog for balance of 2022 as of September 30, 2022 continues to be high. However, there are customer inventory adjustments that will have an impact on our backlog in the coming quarters. We continue to alleviate some of our foundry supply chain constraints, which is helping address our unfulfilled Toggle demand. Recently we announced the commercial availability of our new xSPI family of STT-MRAM devices in densities from eight megabits to 64 megabit. It is the only commercially available persistent memory with full read and write, bandwidth of 400 megabytes per second via eight input/output signals with a clock frequency of 200 megahertz. The low-power family of devices delivers the highest endurance, performance and data retention available today. This family of products can be an alternative solution to other memories such as, SRAM, battery-backed SRAM, ferroelectric RAM, non-volatile SRAM and NOR flash devices. Based on the strong interest from our customers in this new xSPI family of STT-MRAM devices we are now considering an optimized solution that is based on our 64-megabit design for lower densities from four megabits to 16 megabit. This will allow us to better compete with alternate memory solutions in this density range. This new family will add to our product portfolio of xSPI products down to four megabit. Currently we have SPI devices, available between 128 kilobit and four megabit only. Our leadership in STT-MRAM technology has resulted in a collaborative engagement to develop Strategic Radiation-Hardened, Field Programmable Gate Array technology, using Everspin MRAM IP for future Department of Defense strategic and Space System requirements. This will be a transformational FPGA device that is utilizing unique STT-MRAM IP from Everspin Technologies. In addition, we will provide design and manufacturing services as part of this project. I will now turn it over to our CFO, Anuj Aggarwal, who will take you through our third quarter financials and fourth quarter 2022 guidance. Anuj?
Anuj Aggarwal: Thank you, Sanjeev and good afternoon everyone. As part of the third quarter 2022 financial results, Everspin Technologies is pleased to announce its sixth consecutive quarter of positive net income. In addition we generated positive cash flow from operations, resulting in a healthy cash balance of $23.4 million. We delivered solid quarterly results above the midpoint of guidance with revenue of $15.2 million compared to $14.7 million last quarter and $14.8 million in the third quarter of 2021. We also had a positive net income of $1.9 million and positive cash flow from operations of $0.9 million for the third quarter of 2022. MRAM product sales in the third quarter which included both Toggle and STT-MRAM revenue was $14.6 million versus $13.2 million in the prior quarter and $12 million in Q3 2021. Licensing, Royalties, Patents and other revenue in the third quarter was $0.7 million compared to $1.5 million in the previous quarter and $2.8 million in the third quarter of 2021. Shipments to suppliers for our largest end customer who we serve in our high-density STT product for data center applications represented 19% of revenue in the quarter versus 15% of revenue in Q2 and 23% in Q3 2021. Turning to gross margin, GAAP gross margin for the third quarter of 2022 was 58.8% versus 58.4% in the prior quarter and 57.1% in Q3 2021. GAAP operating expenses for the third quarter of 2022 were $7.1 million versus $6.9 million in the prior quarter and $7.4 million in the third quarter of 2021. The higher operating expenses in the quarter, was primarily driven by increased costs to support the new STT, industrial product expected to go into low-volume production in Q4. We are pleased to report third quarter positive net income of $1.9 million, or $0.09 per basic share based on 20.2 million basic weighted average shares outstanding. This compares to a GAAP net income of $1.7 million, or $0.08 per basic share in the second quarter of 2022 and net income of $0.9 million, or $0.05 per basic share in the third quarter of 2021. Basic EPS of $0.09 was better than the top end of our guidance range, reflecting our strategic operational discipline and strong gross margins in the face of tightening supplies and macroeconomic uncertainties. Adjusted EBITDA continues to improve period-over-period. For Q3 2022, adjusted EBITDA improved to $3.4 million compared to $3.3 million in the prior quarter and $2.5 million in Q3 2021. Cash and cash equivalents increased to $23.4 million at the end of the third quarter compared to $23.1 million at the end of the prior quarter and $14.6 million in Q3 2021. Cash flow from operations was $0.9 million for the current quarter increasing year-to-date cash flow from operations to $4.3 million. Turning to our fourth quarter 2022 guidance. Everspin is confident in its growth opportunities and ability to navigate the semiconductor macroeconomic challenges. Demand for our Toggle products remains strong. Everspin expects total revenue in a range of $14.1 million to $15.1 million, with some industry supply constraints to limit supply. Everspin expects GAAP net income per basic share to be between breakeven and $0.05, primarily influenced by expenses related to our next-generation 28-nanometer STT-MRAM product development and price increases from our suppliers. I'll now turn it back over to Sanjeev for some brief additional commentary, before we open it up for questions. 
Sanjeev Aggarwal: Thanks, Anuj. In summary, despite a challenging macroeconomic environment, we continue to build towards a profitable sustainable growth, thanks to the hard work and dedication of Everspin employees. We are excited to see the interest from our customers in our new xSPI family of STT-MRAM products and its potential impact on our revenue trajectory in the coming quarters. As planned Darin Billerbeck, the Executive Chairman of the Board or the Board of Directors of Everspin Technologies has transitioned back to the Chairman of the Board. Anuj and I are appreciative of the support we received from Darin, as the Executive Chairman during the last year, and look forward to working with him as the Chairman of the Board. Thank you everyone for joining us today. Operator, you may now open the line for questions.
Operator: [Operator Instructions] The first question comes from Nicholas Doyle at Needham. Your line is open.
Nicholas Doyle: Hi. This is Nick Doyle on for Raji Gill. Thanks for taking my questions. First one would be just on margins, the strength continued sequentially. Last quarter, you're kind of talking about really strong yields benefiting. So is that 40 basis point increase kind of the same function, or is that coming from better pricing? Any color there? 
Anuj Aggarwal: Yeah. Hi, Nick this is Anuj. Yeah, as you know we don't really give guidance on gross margin. But I'll say yes a lot of those things have continued this quarter. So we've seen great operational excellence where we've been able to drive higher yields and we're seeing the benefits there. And we've also been able to take advantage of optimizing for a better product mix and higher loadings. But I will say eventually the yields have to level off and the product mix will kind of get back to normal trends right? So that will kind of get us back to the internal model that we've shared with everyone. 
Nicolas Doyle: Right. Yeah, makes sense. Thanks for that color. Also last quarter you guys were talking about 128 product ramping volume in the second half. Could you talk about how adoption has been kind of compared to the smaller density products? I mean you did mention that you're looking into adding to the family at the four megabit level. So any color there? 
Sanjeev Aggarwal: Yeah. Sure Nick. This is Sanjeev. So I think the 128 megabit product that you're referring to that is in sampling right now. That is not the one that we have announced for commercial availability as yet. It's only from 8 megabit to 64 megabit. So we are sampling the 128 megabit. And as we have said in the past any design wins it takes a pretty long time in the industrial sector. So I think most of our design wins will probably come towards the end of 2023. And I think that's when you'll start seeing a significant or material revenue from this new product that we brought to market.
Nicolas Doyle: Okay. One more if I could just squeeze in there, you talked about kind of customers maybe pushing out orders or at least the inventory adjustments. Can you speak to kind of what end markets that you're seeing that? Is that data center and industrial? Thanks.
Anuj Aggarwal: Yeah. So first maybe let me add some color. So the Q3 for us was a record product revenue quarter, right? So in terms of filling the backlog we've produced record numbers from a product standpoint. And I think operations has done a great job filling some of those orders and meeting the pent-up demand. But to your point, there has been some cancellations and pushouts of orders and there's been a little bit of softness I think in the data center space. But we still have plenty of backlog that needs to get filled and we continue to see orders in 2023 as well as 2024. So the backlog is still very strong. 
Operator: [Operator Instructions] No further questions remain. At this time, I'd like to turn it back over to your CFO Anuj Aggarwal for closing remarks.
Anuj Aggarwal: Okay. With that, we conclude today's call. Thank you all for joining us and we look forward to reporting our progress and results on next quarter's call. Operator, you may now disconnect the call.
Operator: Thank you all for your participation in today's conference. This does conclude the program. You may now disconnect.